Operator: Hello, and welcome to SEI's Second Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Brad Burke, Head of Investor Relations. You may begin.
Bradley Burke: Thank you, and welcome, everyone. We appreciate you joining us today for SEI's Second Quarter 2025 Earnings Call. On the call, we have Ryan Hicke, SEI's Chief Executive Officer; Sean Denham, Chief Financial Officer and Chief Operating Officer; and members of our executive management team. Jay Cipriano, Sandy Ewing, Paul Klauder, Michael Lane, Phil McCabe, Mike Peterson, Sneha Shah and Sanjay Sharma. Before we begin, I would like to point out that our earnings press release and the presentation accompanying today's call can be found under the Investor Relations section of our website at seic.com. This call is being webcast live, and a replay will be available on the Events and Webcast Page of our website. We would like to remind you that during today's presentation and in our responses to your questions, we have and will make certain forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially. Please refer to our notices regarding forward-looking statements that appear in today's earnings press release and in our filings with the Securities and Exchange Commission. We do not undertake to update any of our forward-looking statements. With that, please turn to Slide 3 as I turn the call over to our CEO, Ryan Hicke. Ryan?
Ryan Hicke: Thank you, Brad, and good afternoon, everyone. We are thrilled to report another strong quarter for SEI. While Sean will dive into the financial details, I'll focus on our strategic momentum, key areas of progress and where we're sharpening our execution to drive sustained performance. Transparency remains a cornerstone of our approach and I'll be candid about where I think we're excelling and where we see opportunities for improvement. Let's start with what excites us most. Last week, we announced the transformative strategic investment in Stratos a leader in the independent advisory space with a proven track record in organic growth, adviser recruitment, client experience and M&A. Please refer to our Form 8-K for more information. This partnership integrates the client-centric model of Stratos with SEI's modern technology, custody and investment management capabilities, creating a powerful platform for advisers in a rapidly evolving wealth management landscape. This move is strategic and a strong cultural fit. Our deep relationship with Stratos leadership enhances our ability to deliver unparalleled value across client segments, while aligning with our disciplined capital allocation strategy. We believe it positions SEI to capture long-term shareholder value through the growing demand for advice-driven solutions. Additionally, this investment strengthens our ability to innovate across our asset management and administration platforms, leveraging direct insights into end investor needs to benefit our adviser, private banking and investment manager clients globally. As part of SEI's broader transformation, we've also been evolving our leadership starting at the top. Yesterday, we announced the appointments of Karin Risi and Tom Naratil to our Board of Directors. Karin led Vanguard's $2.5 trillion personal investor and wealth management businesses and was responsible for the design and launch of Vanguard's hybrid advisory platform. Tom led the global wealth management business at UBS which oversees more than $2.8 trillion in assets. Their recent relevant experience and strategic insight will make us stronger as a leadership team. This is another clear signal of our commitment to long-term growth, innovation and accountability. Now shifting to areas where we see progress, but also opportunity. In the second quarter, SEI realized nearly $30 million in net sales events led by strong momentum again in our Investment Manager segment. On a trailing 12-month basis, that's a new record for SEI. Absent some private banking delays caused by market volatility in April, we believe Q2 would have been even better. The timing is what it is. Our pipelines across all our businesses, including PB, remains strong. We're actively addressing outflow headwinds to drive sales and asset management, and that team is making tangible progress as evidenced by 2 quarters of improving net asset flows. Two years ago, $30 million in net sales would have been exceptional. Today, it's a solid baseline, reflecting how far we've come in the scale of our ambition. We're not yet where we want to be, but we're moving faster and with greater focus. The competitive landscape is also shifting in our favor. Firms are rethinking their operating models, and we're leaning into that opportunity. We are seeing increased interest in outsourcing from banks, large RIAs and alternative asset managers, many of whom have historically managed operations and technology in-house. Last week in New York, I met with global alternative asset managers that are exploring strategic outsourcing partnerships. SEI is uniquely positioned to support their business transformation. Our focus remains on flawless execution to ensure client satisfaction and referenceability, which is why we're proactively investing in talent, technology and platforms. As mentioned earlier, in our asset management businesses, we're seeing encouraging signs. The momentum is real. AUM net flows in the first half of 2025 were roughly flat against several billion of net outflows in the same period last year. And if you include growth across our broader platform, not just AUM, we're beginning to see early signs of modest net growth. That's meaningful progress. Much of this improvement is tied to our evolving strategy with focused client segmentation, pricing discipline and a renewed sense of enthusiasm for our value proposition across the ecosystem. There's real energy in those businesses, and it's beginning to translate into results. Now let me address margins, an area where we're always watching closely. Margins stepped down in Q2, reflecting the investments we've been discussing with you over the last few quarters. We continue to make the necessary investments to support future growth and add talent. That impacts the income statement in the short term, but these investments are targeted and intentional and we're tightening our focus in a few areas. We will remain surgical on hiring. We will reprioritize certain discretionary spend and we'll continue to streamline internal processes to ensure we're allocating resources where they'll have the greatest impact. With Sean's leadership, we're pairing these investments with increased accountability, measurement and leverage. Everyone in this room is responsible for delivering on the return on these investments. We will be disciplined while staying committed to our long-term growth strategy. Let me close with this. We are running the company to make sure SEI endures and thrive for the long term, not just quarter-over-quarter. With the adoption of Stratos and the addition, the growing strength of our foundation, the breadth and depth of our sales pipelines, the execution of our growth strategy, SEI has amazing potential over the next 12 months, the next decade and beyond. Thank you. And with that, I'll turn it over to Sean.
Sean Denham: Thank you, Ryan. Please turn to Slide 4. Our EPS of $1.78 includes significant onetime items notably a gain from the June 30 sale of our family office services business and a gain from a long-standing vendor negotiation totaling a $0.60 EPS impact. These were partially offset by $0.02 of choppier expenses hitting corporate overhead due to foreign currency losses and legal fees tied to the Stratos investment. Excluding these items, SEI would have realized EPS of $1.20, reflecting an increase from both the prior year and prior quarter. Slide 5 summarizes our business unit performance. Private Banking revenue increased both year-over-year and sequentially, supported by a handful of larger clients going live in the quarter. Investment Managers revenue grew 8% year-over-year with double-digit growth in alternatives, offsetting a 1% decline in traditional revenue due to mark-to-market weakness. We expect this market-related drag to ease in the second half subject to market conditions. Our advisor and institutional businesses realized flat sequential revenue growth as market appreciation in May and June offset significant declines in April. With the exception of our Investment Managers business, all SEI businesses saw positive operating leverage when compared to the prior year. However, margins did decline on a sequential basis, which we'll discuss on Slide 6. Starting with Investment Managers. The decline in margins from the first quarter is primarily attributable to hiring ahead of expected new business, ensuring that we can execute quickly as we win new business. Additionally, the margin comparison against the first quarter is challenged due to first quarter delays in the hiring plans we had spoken about previously. With the hiring made in the second quarter, we now expect cost to layer on about as quickly as revenue, so we anticipate that margins will remain in this range as we staff for larger client conversions. Margins in our Advisor business increased versus the prior year, driven by $21 million of revenue from our integrated cash program, up $11 million from Q2 of last year. The 2.2% point decline from the first quarter was driven by a handful of choppier items. For instance, an increased accrual from our SEI LifeYield earnout drove a nearly $1 million increase in expense against Q1. We had nearly $500,000 in expenses associated with the onboarding a large RIA client, and the first quarter also benefited from just over $1 million of accrual reversal, which further impacts the comparison. Private banking margins improved against last year but declined sequentially as the growth-oriented investments Ryan mentioned, began to ramp up in the second quarter. Institutional margins increased both year-over-year and sequential although the current quarter was aided by a $1 million earn-out reversal that won't repeat. Consolidated operating margins improved slightly year-over-year but declined sequentially, impacted by the aforementioned onetime expenses and corporate overhead. Turning to our sales events activity on Slide 7. Investment Managers drove net sales events across SEI with a very balanced mix of wins across alternatives, traditional and global. No one single client drove Investment Manager sales events in the quarter. Our pipeline in this business is extremely strong, driven by several large alternative managers. These managers are growing at a rapid pace, and they recognize they would benefit from a strategic partner to continue powering their growth. The timing of realizing these wins remains fluid, but we anticipate the pace of wins to accelerate in the back half of the year. Private Banking net sales events totaled just over $2 million, with timing slipping for a number of deals due to April's market volatility. Reiterating Ryan's comments, our private banking pipeline remains strong and balanced among regional community and large banks as well as professional services across both new and existing SEI clients. The institutional and advisory businesses recorded a combined $1 million in net sales events in Q2 and $2 million year-to-date, a significant improvement from a negative $11 million in the first half of 2024. In summary, SEI sales pipeline remains strong and consistent with our messaging over the last couple of quarters. We will be investing in both talent and technology ahead of that growth to ensure outstanding execution for our clients. Turning to Slide 8. SEI's AUM and AUA grew on both a sequential and year-over-year basis. AUM growth reflects positive market conditions and improving asset flows for SEI's adviser and institutional businesses. AUM net flows for these 2 businesses were negligible year-to-date, significantly improving from the first half of 2024. Traditional mutual fund outflows were largely offset with growth in models and custom portfolios. We expect this trend to continue, and we are shifting resources from traditional mutual funds and prioritizing the growing tax-sensitive ETF, SMA and models business in conjunction with our evolved asset management strategy. We are in the early stages of our asset management journey of going upstream to work with larger advisers and growing the RIA business. The early progress is encouraging and happening at a faster pace than we had originally anticipated. Growth in AUA, both sequentially and year-over-year reflects the continued demand for investor -- Investment Manager services in addition to the benefit of market appreciation. Outflows in our LSV investment were more than offset by market appreciation. Fund performance remained solid with LSV realizing $5 million of incentive fees in Q2 at SEI share. Slide 9 summarizes our capital allocation. During the quarter, we continued to return significant capital to shareholders with buybacks now exceeding $700 million on a trailing 12-month basis. Our recently announced Stratos investment is not reflected in Q2 figures and is expected to close later this year. We expect to fund the majority of Stratos with low-cost balance sheet cash, while continuing to return free cash flow to shareholders with share repurchases and dividends. We will maintain significant capacity for incremental investment in a fortress balance sheet. Before concluding, I'd like to remind our audience about our Investor Day coming up in New York on September 18. You should have received an invite to sign up from Brad. Please send us a note if we missed you. There's a lot of work happening at SEI, much more than we can unpack in a quarterly update. I think our analysts and investors will get a lot of value from hearing us dive deeper into our strategic priorities and anticipated outcomes. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Crispin Love with Piper Sandler.
Crispin Love: First on investments in talent and technology. I know this is an area where you're always investing, but there were definitely multiple call-outs in the release in the call. So first, can you discuss some of the key investments you're most focused on today? And then are you able to size the incremental investment you expect in coming quarters in these areas.
Sean Denham: Sure. Thanks for the question. I can take that. I'll give you 1 or 2 examples of where some of the investments are being made. So I have mentioned in my prepared remarks that we're making investments in talent and technology. For instance, in IMS, we understand really well what our pipeline is, what expected sales will be moving forward. And as a result of that, we need to hire in advance of that to anticipate those sales. So that's on the people side, and I think that's pretty consistent really across the businesses, including PB to a certain extent. From a technology standpoint, we're investing for IMS, for instance, we're investing in technology to streamline our IMS systems for better scalability and cost efficiency. So that's going to set us up for future growth. Those 2 examples are pretty consistent with how we think about technology and our people. So in my comments, I had mentioned that we are continuing to look at what that sales pipeline looks like, how we are going to scale our technology and our platform for future growth.
Crispin Love: Great. Appreciate that.
Sean Denham: I'm sorry, you had one more piece to that. And -- so the expectation for future margins, I think you can expect kind of where we are in Q2 to be relatively consistent of what we're expecting in future quarters.
Crispin Love: Perfect. Okay. That makes sense. And then just a second question for me on sales events. You called out temporary delays in private banking. Can you just give a little bit more detail there? What drove that? And then just expectations going forward?
Ryan Hicke: Yes. Crispin, it's Ryan. This one was really, I think, -- we'll blame April. And I'm being serious. April just kind of froze everything in a couple of segments for a little while. But similar to the commentary we had almost a year ago, when we talked about some things kind of leaking through that July 4th weekend, the pipeline is exactly what the pipeline was. So what we really like to see is kind of the strength and depth of that pipeline. Sanjay sitting right next to me. Sanjay and I literally an hour ago went through the entire pipeline for the next 12 months, but it was just the product of things that were moving along at a certain path that we would have had a kind of gate 3 that would have naturally matriculated to gate 4 in closing, just got pushed a bit to the right. And again, timing is what it is. So will that manifest itself in the next 90 days or next 180 days? I wish I had more control over that. But the pipeline in banking is really strong. Sanjay, do you want to provide a little color commentary to what you're seeing?
Sanjay Sharma: Yes, certainly. It's -- the second quarter, I know that things slowed down a bit, but we used that time to further strengthen our pipeline and also building the list, continuously investing in our existing client base. So I strongly believe that our pipeline is strong. The other part I would highlight is that over several quarters, we have been talking about our focus and attention on regional and community space, but in parallel, we were also focusing on the small bank market as well as the large bank market. And I strongly believe that our pipeline is more balanced across those 3 segments now.
Operator: Next question comes from the line of Ryan Kenny with Morgan Stanley.
Ryan Kenny: So first question on the Stratos acquisition. Can you give us some color on what differentiates the strategy at Stratos versus some of the other RIA aggregator models that are out there?
Ryan Hicke: Yes, 100%, Ryan. I hope you're doing well. Michael Lane is in the room, feel free to chime in, Michael as well. I think there are 3 fundamental things that really attracted us to Stratos that we saw as differentiated. One was the breadth and experience of their executive team. So this isn't just Concepcion, who is a phenomenal entrepreneur and leader. We spent a lot of time with this group. They just had a very professional management team, Ryan. They had a COO, a CFO, a Head of acquisitions. They are built for the scale that they have actually grown. And we were really excited and energized by that. I think the second thing that differentiated Stratos and attracted it to us is that they have not adopted the strategy of let's go buy a whole bunch of advisers and then try to harmonize it later. They have a centralized investment platform. They have discipline around their value proposition when they bring new advisers on. They see a tremendous amount of value in what SEI can bring to the table with our capabilities around asset management, administration but they really do deserve, I think a lot of accolades for the discipline in their value proposition and operating model that they drive through the organization. And then I think the third is so important to SEI is cultural fit. The team just really resonates in terms of the values that they hold, the integrity with which they operate. It does feel like they are already part of SEI and SEI and Stratos kind of have a lot of shared values. But specifically around their business model, Ryan, I would say the first two things and one more kind of the qualitative side with just the honesty, integrity and client focus that they have really resonates. Michael, what would you add?
Michael Lane: Yes. I mean, everything Ryan said, plus I would add that one of the criteria that we were interested in was a group that actually was a hybrid where they had both capabilities available, they could have 1099 as well as W-2 because those 1099 advisers at some point are going to look for a succession plan and the W-2 environment provides that succession plan. And so that is another one of the things that was a key criteria for us that we were searching for when we were first introduced to Stratos, that was another box that was checked.
Ryan Kenny: All right. Great. That's clear. And then you mentioned that Stratos was interested in some of the asset management and servicing capabilities that SEI offers. Should we expect those -- that to result in revenue synergies and any timing on when that could show up?
Michael Lane: So your question is that they have an interest in the asset management services. So I don't believe that they have an interest necessarily as much in our IMS under -- from a cadence business. But what they are very interested in is since they have a Stratos Investment Management group, which provides direct indexing and SMA capability they would like to further scale that and provide additional opportunities to grow that beyond their current mix. And that's where the combination of our scaled asset management, investment management arm plus their investment management services arm, I think we'll be able to bring a tremendous amount of value to scaling that. And there could be opportunities in direct indexing or SMA servicing that we could do at some point in the future, but the primary will be adding additional services and capabilities to their existing Stratos Investment Management business.
Ryan Hicke: And I would add to that, I would actually say, Mike and I were having this conversation yesterday, in these scenarios, a lot of times synergy gets interpreted as to what costs are we going to rip out. That's absolutely not the focus. This is a long-term strategic investment by SEI. It's a footprint that we want to occupy in the ecosystem. They have a really great adviser experience and end client experience. Our capabilities, Ryan, will absolutely add value and augment that but there is no rush or urgency to try to accelerate that potentially at the expense of a client experience until we really understand how we could deploy things that actually improve and augment their platform.
Michael Lane: Particularly a business that has a 10% organic growth rate, the last thing you want to do is disrupt the organic growth. So our goal is to be as least disruptive and as most accretive to them as possible.
Operator: [Operator Instructions] Our next question comes from the line of Owen Lau with Oppenheimer.
Kwun Sum Lau: So going back to the net sales environment, other than private banking, how would you characterize the sales cycle for other segments? You also caught out IMS sales were quite strong. Could you please unpack a bit more on the driver of that strength?
Ryan Hicke: Owen, let's take that in a couple of stages. So let's raise it up and go back to the strategic themes for a second. We've been talking a lot the last couple of years around macro trends that we believe we were positioned well and we want to continue to exploit. So if you think about the appetite for outsourcing from alternative investment managers, the demand for better technology and operations for regional community banks that want to compete in wealth and what the larger enterprise scale RIAs really need to operate as an institution in the future, we feel really strongly positioned there. And I think it harkens back a little bit to Crispin's question, to Sean around investments in technology and talent. We are also making some more investments in front office talent, revenue-generating talent, service talent because there's just opportunity there. So the places that we have made bets over the last 24 to 36 months, we feel really well positioned and those themes continue to resonate. I think it's always more effective when we talk about specific pipelines and segments to let the unit leads provide some of their color commentary. I mean, Phil, I mean, it's another great quarter for investment managers to Owen's question there, you and I were in New York last week. What are you seeing? What do you kind of see coming up the next few quarters?
Phil McCabe: Okay. Thanks, Ryan. So normally, I would say the pipeline is robust or I would say it's very, very strong. But to give a little bit more color, at the end of the day, we're very strong in every single product in every single jurisdiction. So anything from retail alternatives to collective investment trusts to private assets in general. And especially on the alternative side of the business. As Ryan said in his opening remarks, some of the largest alternative managers are in market today looking for a strategic outsourcing partner. So we're in the middle of a lot of those conversations right now. We think a lot of those clients are first-time outsourcers and we have a pretty large opportunity. We do really, really well in the high end of the market, and we expect to win more than our fair share of those deals over the coming quarters.
Ryan Hicke: And I think Owen, the other thing, and then maybe Michael Lane, do you want to comment on kind of the sales environment. The other thing coming back to why we are calling out investments in tech and -- in technology and talent, when Phil gives that example, when we're in these situations, those organizations call other organizations and ask them about the experience. And those calls are usually extremely positive when they call for SEI references, and we are going to make sure we protect that experience and referenceability at all costs over the next 9 to 12 months because of what we see happening in the competitive environment.
Phil McCabe: And that's important because if we do a flawless conversion and we execute properly, we will get more and more lots and lots of business from those clients over a longer period of time. So if we don't do it well in the beginning, it will cost us, but we always do it well.
Michael Lane: If you look at the Asset Management business, and you look at what was mentioned during the earlier comments about the change in sales events from first half of '24 to first half of '25. You look at the flow, which is also an important story first 6 months of '24 in our institutional business was negative $1.3 billion, and then it was positive close to $1 billion in the first half of '25. So flows have improved. We've had less losses in the institutional business. In the advisor business, our flows in the first half of 2024 were about $1 billion. In the second -- in the first half of 2025, we're looking closer to $3 billion of flows. And so the flows have improved but there's also a process to those flows. When you think about the story you were told about, we're going upmarket, we're going to the larger RIAs, Well, the process of how that money will hit, we'll start with custody. It will move into models. It will move into alts over time. So there is a process of how that flow hits. And so we'll be sharing more information as we go with platform only versus monies moving into models and other types of investments from the RIAs.
Kwun Sum Lau: Got it. Super helpful. And then maybe another longer-term question for capital return and leverage. Would SEI consider deploying capital to Stratos after closing the deal and use that as a vehicle to make RIA acquisition. And then maybe like after the closing of the partnership, do you have any target leverage or SEI plans to delever back to 0 debt afterwards?
Sean Denham: Owen, it's Sean. So from a -- I think your first question was, is there going to be a capital need with the Stratos partnership for funding future M&A activity. And I think that's your question. So the answer to that is yes. We see that as tens of millions, not hundreds of millions. So there will be funding that will be needed. And by the way, we want that to continue M&A activity. That's the big reason why we did this deal in partnership with Stratos. So that's number one. What was your second question, Owen?
Kwun Sum Lau: The second one was target leverage ratio or you want to like participate on the debt afterwards?
Sean Denham: Yes. So right now, we're about at negative 1x. And so the expectation would be to improve that or go from negative 1 to less than that. So I think where we're looking right now to eventually target is to bring some of those cash levels much lower, maybe a run rate of $300 million or so of staying there using our free cash flow to continue to do stock buyback. That's been, obviously, as you know, a big part of what we've returned to our shareholders and then dividend. So if you want to think free cash flow of $500 million to $600 million that's probably a good indicator, and we will unpack that further at Investor Day.
Operator: [Operator Instructions] I'm showing no further questions in the queue. I would now like to turn the call back over to Ryan Hicke for closing remarks.
Ryan Hicke: It must be summer with that few amount of questions. Thank you so much for joining us today and actually for the questions and the continued engagement and energy that we get from everybody. We're really excited about the progress we're making, and we're confident in the path ahead. As always, we appreciate your continued interest in SEI. As Sean said, we look forward to sharing more of our details in the Investor Day in September. Hope everybody has a great evening and enjoy the rest of the summer.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.